Operator: Good day and welcome to the GATX Third Quarter Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the call over to Jennifer Van Aken, Director of Investor Relations. Please go ahead.
Jennifer Van Aken – Director, Investor Relations: Thank you, (Tim) and good morning everyone. Thanks for joining us for the third quarter conference call. With me today are Brian Kenney, President and CEO of GATX Corporation and Bob Lyons, Senior Vice President and Chief Financial Officer. I’ll give a brief overview of the numbers provided in our press release this morning and then we’ll take questions. First, I’ll remind you that any forward-looking statements made on this call represents our best judgment as to what may occur in the future. We have faced these forward-looking statements on information currently available and disclaim any intention or obligation to update or revise these statements to reflect subsequent events or circumstances. The company’s actual results will depend on a number of competitive and economic factors some of which maybe outside the control of the company. For more information, refer to our 2010 Form 10-K and the second quarter 2011 10-Q filings. Today, we reported 2011 third quarter net income of $32.9 million or $0.70 per diluted share. This includes a net benefit of $1.3 million or $0.03 per diluted share related to a tax benefit from the reduction of statutory tax rates in the United Kingdom of $4.1 million or $0.09 per diluted share partially offset by negative after-tax fair value adjustments, certain interest rate swaps at our European rail affiliate, AAE Cargo of $2.8 million or $0.06 per diluted share. This compares to 2010 third quarter net income of $21.1 million or $0.45 per diluted share, which includes a net negative impact of $0.8 million or $0.02 per diluted share related to the negative after-tax value adjustments of interest rate swaps at AAE of $2.7 million or $0.06 per diluted share partially offset by a tax benefit of $1.9 million or $0.04 per diluted share also from the reduction of statutory tax rates in the United Kingdom. Year-to-date 2011, we reported net income of $79.2 million or $1.68 per diluted share. The year-to-date results include a net benefit of $13.9 million or $0.30 per diluted share related to the aforementioned tax benefit due to the change in tax rate and positive after-tax fair value adjustments of the interest rate swaps at AAE of $9.8 million or $0.21 per diluted share. Year-to-date 2010, we reported net income of $61.3 million or $1.31 per diluted share. The year-to-date results include a net benefit of $1.7 million or $0.04 per diluted share related to the previously discussed tax benefit due to the change in tax rate. The favorable resolution of litigation matter and tax accrual reversal that occurred in the second quarter of 2010 and negative after-tax fair value adjustments of the AAE interest rate swaps of $8 million or $0.17 per diluted share. Rail’s results are reflective of the favorable operating environment. GATX’s North American fleet utilization was 98.2% at the end of the third quarter consistent with the end of the second quarter. The renewal rates in the lease price index were 9.6% above expiring rate and the average renewal terms of cars in the LPI increased to 49 months. As noted during our second quarter call, we do not anticipate a strong result in the LPI in the fourth quarter due to a limited number of renewals that are coming us very high rate. That said we are pleased with the rate environment at present. The success rate on renewals during the quarter was about 75%. In Europe, GATX’s wholly-owned tank car fleet utilization improved to 96% and we continue to achieve lease rate increases. In specialty, the spare aircraft engine leasing joint venture with Rolls-Royce continues to perform extremely well, while the ocean-going marine joint ventures had mixed results. Rates have improved in the gar carrier market due to demand for ethylene in China. However, the bulker and chemical tanker markets continued to be weak. As noted in the press release, we dissolved the Clipper Fourth joint venture, in which GATX held a 45% interest. As a result of the dissolution, GATX incurred an impairment loss of $5.2 million, which is reflected in share of affiliates earnings and retain six of the 14 handy-size chemical parcel tankers. American Steamship Company’s operations were interrupted during the quarter due to a brief strike by the American Maritime Officers union, which represents the licensed crew members aboard ASC’s vessels. We expect customer demand to remain stable through the end of the year and ASC is working to makeup for the volumes lost during the work stoppage. During the third quarter, asset remarketing activity strengthened as anticipated. Also we invested approximately $200 million primarily in rail assets in North America and Europe. As we look toward the end of the year, we continue to expect 2011 full year earnings in the range of $1.85 to $1.95 per diluted share. This excludes the impact of the AAE interest rate swaps, tax benefit, and strike effects at ASC. With that overview, let’s go to your questions, Tim?
Operator: (Operator Instructions) We take our first question from Art Hatfield with Morgan Keegan.
Art Hatfield – Morgan Keegan: Hey, morning everyone. Just real quick few questions here on the – Brian, the comments about the guidance, the $1.85 to $1.95. I would assume that the third quarter number that would be comparable to that would be a $0.67 number?
Bob Lyons: That’s correct, Art. It’s Bob, that’s correct.
Art Hatfield – Morgan Keegan: Okay, great. Just see other thing to I noticed in the quarter in the rail group maintenance expense dropped down from where it had been the last three quarters. I know you had been working through a little bit of a maintenance level. Is it fair to say that Q3 is kind of like the end of that and we should see a lower number going forward or it was just something unusual in Q3 that you didn’t have a lot of maintenance events going on?
Brian Kenney: Well, if you look at maintenance in Q3 in North America and Europe it’s two different stories. North America, it’s down slightly. We had generally a lower volume of repairs. We had more repairs that were the customer’s responsibility. That was offset somewhat by higher railroad repairs and rail replacement, so but in general, they were down just slightly. Europe really drove more of the favorable variance. They had higher real estate capitalization than in 2010. In general, Art, if you look at what drives our maintenance cost, I mean, there is a lot of factors, it’s the size of the fleet and you’ve seen us grow our fleet over the last year aggressively between acquisitions and the new railcar order. It depends the way your fleet is on average in the regulatory cycle. It depends on the level of railroad repairs. It depends on if there is any industry wide fleet issues out there, but it’s also I think that’s what people will think about, it depends on commercial activity in a very strong market like you see today where we are having 75% renewal success. You are not going to have a lot of cars going into the shop and there is going to be lower maintenance. In a weaker market like you saw the last couple of years, where there is a lot of customers returning cars and lot of assignments to new customers, you see a lot more shop visits and higher maintenance. So, I would expect given the static fleet, where we are in the regulatory cycle is relatively static, 2010, 2011, 2012, and we are in a very strong commercial market. So, I expect this kind of performance in North America, in terms of the existing fleet. Well, it once again depends on if there is any fleet issues that pop up and what happens with railroad repairs, but in general on our existing fleet it’s been relatively static lightly. In Europe, it’s a little different story, there has been a lot going on in the rail replacement that we have been talking about and that activity will increase. A lot of that is capitalized, but there is just in general, in their revision cycle, it was higher this year.
Art Hatfield – Morgan Keegan: Thanks. That’s very helpful. And then on ASC operating expenses, I know you have made the comment that you wouldn’t be able to fully reflect the impact, but if we just kind of eyeball it and think about the operating expenses year-over-year, is it fair to say that vast majority if not all of that change year-over-year is related to the strike event?
Bob Lyons: Some of that is also if you look it’s reflected both in marine operating revenue and marine operating expense. There is a fuel impact there as well that moves around and gets passed through. So, that’s one piece of it, but yes, we did incur higher operating expense in the third quarter both as we prepared vessels to go for potential strike and then as we brought them back out. So, we definitely incurred some incremental expense there without a doubt. As it’s noted in the press release, we will be able to better analyze the full impact of the strike as we get towards the end of the year and we see what kind of volume we can make up here in the fourth quarter. Lot of that will be weather-dependent.
Art Hatfield – Morgan Keegan: Okay, just two more quick ones. Help me understand, make sure, I understand what’s going on with the Clipper Fourth JV, that’s been dissolved. You took approximately, $5 million asset impairment where does that show up in the financials?
Bob Lyons: Yeah, it’s in, go ahead.
Jennifer Van Aken: It’s in the share of affiliates line Art.
Art Hatfield – Morgan Keegan: Okay, okay. And then, you have taken, did I read this – understand this right that you have taken possession of six of those vehicles?
Jennifer Van Aken: Yes.
Art Hatfield – Morgan Keegan: And so will that, how will that report going forward, you have 100% ownership of those and so how do we think about the P&L impact of that change or that dissolution of the JV?
Bob Lyons: Well, we do have 100% ownership of those six vessels now. So that will be reflected on the balance sheet as owned assets versus rather than an investment and an affiliate. From a P&L standpoint whatever charter income we receive after those vessels will flow through specialties, gross income line, but I wouldn’t anticipate, Art, any material change really in the P&L one way or the other.
Art Hatfield – Morgan Keegan: Okay. And then finally just a quick update, Brian, I think on the last call, I had asked you about, you had mentioned something about competitive pricing in the Bakken and that you guys only had 200 car exposure in the Bakken. Is that still the case and if so has anything changed or is that kind of competitive pricing spread anywhere else?
Brian Kenney: No, it seems to be a pretty rationale market at this point as you saw what happened to the LPI in the quarter. We are pushing price aggressively. Most of our car types are approaching full utilization. I think given the dynamics of the industry with slow growth in car loadings, tight supply, and long manufacturing backlogs in us pushing price hard and having success. It seems to be a pretty rationale market at this point. As far as the Bakken’s, there has been some pullback in new car inquiries about car included in frac sand as well, but in general, there is enough demand elsewhere to make – to more than makeup for any weakness there. In fact if you look at our supply agreement which we signed earlier this year, not only we sold out for 2011, but hopefully in the next quarter we’ll be sold out for all of 2012 as well. So, it’s a very strong market.
Art Hatfield – Morgan Keegan: Okay. Thank you very much for your time. That’s all I got today.
Bob Lyons: Thanks Art.
Operator: And we’ll take our next question from Steve Barger with KeyBanc Capital Markets.
Steve Barger – KeyBanc Capital Markets: Hi, good morning guys. You just talked about pricing being high and utilization being strong, are you getting quotes for additional cars for fleet growth? Can you talk about what you’ve been seeing in terms of pricing from the OEMs over the past couple of quarters?
Brian Kenney: Sure. Yes, we are taking cars beyond what we are obligated to take in our supply agreement absolutely. So, we are getting all kinds of new car inquiries and that’s why we are sold out so far in advance. As far as new car pricing probably the best way to look at that is this year it’s up from the beginning of the year around 10% or more and in context of where we are in new car pricing in the cycle. If you look back in 2007/2008, when car prices peaked the last time, they went down depending on the car type between 15% and 25% to the depth of the recession.
Steve Barger – KeyBanc Capital Markets: Right.
Brian Kenney: At the end of ‘09 beginning of 2010. And I’ll tell you they are almost all the way back and some car types are even higher than the peak last time. So, I’d say car costs have moved up in conjunction with steel and component supply and all that to where they are at the prior peak.
Steve Barger – KeyBanc Capital Markets: And can you talk about that a little bit by car type, where is the strongest, is it tank or the small cube hoppers?
Brian Kenney: In terms of demand or car…
Steve Barger – KeyBanc Capital Markets: The pricing that’s gotten back to prior peak?
Brian Kenney: Well, we are talking car cost got back...
Steve Barger – KeyBanc Capital Markets: From the OEM side, yeah. Cost to you?
Brian Kenney: Okay. Well, I’d say it’s across the Board actually, and in some cases, an example would be some of the pressure cars they are above the prior peak.
Steve Barger – KeyBanc Capital Markets: Interesting.
Brian Kenney: Steve, but overall I’d say almost everything is back to the prior peak.
Bob Lyons: And it’s also driven too, I think as Brian mentioned that backlog is pretty long. So...
Steve Barger – KeyBanc Capital Markets: Right, okay.
Brian Kenney: As far as rate, Steve, as far as rates there are some car types which are close to the prior peak, but in general, we still have ways to go on pricing on the lease rate side.
Steve Barger – KeyBanc Capital Markets: Got it. Your real gross margin was higher than it’s been since 2008 and obviously LPI has recovered really nicely. Are you thinking the current conditions are going to support that high 20% gross margin in the rail group into 2012? And is that why you extended lease terms?
Brian Kenney: Well, we are extending lease terms, I think I saw your note this morning Steve and you are correct we have extended term of it and we are doing that on selective car types, because of the rate environment we feel comfortable in certain car types with where the rates are and starting to move those terms out. That’s a reflection of the commercial environment being very strong as Brian mentioned. In terms of gross margins, not exactly sure, how you are calculating that, but you also need to factor in that rail had a very strong quarter from a remarketing standpoint as the specialty.
Steve Barger – KeyBanc Capital Markets: Right.
Brian Kenney: We would not expect that to repeat again in the fourth quarter.
Steve Barger – KeyBanc Capital Markets: Okay. And so just correct me if I am wrong, but did I hear you say that you the LPI should – will pricing continue to increase sequentially, but the LPI won’t go up just because of comps, did I hear that correctly?
Bob Lyons: The fourth quarter LPI verse the 9.6 that we posted in the third quarter. We anticipate being below that number in the fourth quarter. As we said at the end of the second quarter, there are some cars rolling over here at the end of the year that are coming off of relatively higher rates. So, the wire has been raised and so we don’t anticipate the fourth quarter LPI to be as strong as we just saw. That’s not a reflection of the overall nominal lease rate market right now, which remains very favorable.
Brian Kenney: Yeah. Perhaps the lease rates are increasing and the other thing to remember is the way we managed our fleet during the downturn, which is the take really go short on renewals and try to take advantage of a recovery, which has happened now. That means as we sit here today, if you look at the average 2011 expiring rate and what we anticipate will be in 2012, the average expiring rate should come down. So, without getting into forecasting whether lease rates will continue to march up on an absolute basis, the 2012 expiring rate being down will mean that lease rate increases will continue next year even if rates are flat.
Steve Barger – KeyBanc Capital Markets: Right, I understand. That’s great color. I appreciate it. I will be back in line.
Operator: And we’ll take next question from Paul Bodnar with Longbow Research.
Paul Bodnar – Longbow Research: Good morning guys.
Jennifer Van Aken: Good morning.
Paul Bodnar – Longbow Research: Wanted to follow-up here on the, just we want to raise the tanker market a little bit and cover off, what are you seeing in coal cars right now. We should have seen a little bit more strength there or what’s the situation?
Brian Kenney: Yeah, you are definitely seeing strength in the coal car market over the last year. I mean at the depth of the recession you had 300 sets idle across the industry and now it’s around 20 sets. So, that’s less than 2% of the industry’s aluminum capacity that’s idle right now. I saw the other day that September 2011 car loadings and coal were up about 1% versus the prior year. The export markets continue to be strong this year. If you look at our fleet, we are approaching 100% utilization. Rates are going up nicely. I think we are still for the most part keeping term short because we think there are still some legs in this recovery. And if you talk to our fleet guys and I just did that specifically you look at that really drive coal car demand and pricing are all favorable right now. So, it’s not only industry utilization exports, you look at rail road velocity, terminal, all that’s deteriorating which is favorable for coal car activity. And actually there is a lot of noise in the industry about new builds as well. So, yes, we think it will continue, obviously, it’s tied to the economy, but it looks good right now and looks like it will continue.
Paul Bodnar – Longbow Research: Okay. And in terms do you expect your fleet to be expanding in terms of overall size, then I mean it seems like you’ve been pretty flat fleet agent, I mean, what are you thinking in terms of obviously the number of cars you are scrapping also selling out of the fleet versus what you are going to be bringing in?
Bob Lyons: Part of that, Paul, will really be driven by what we find opportunistically in the secondary market. The new car order that we have with Trinity, if you look at that is 2,500 cars a year. That’s in the range of what we scrap in a given year. As Brian mentioned we are ordering on top of that, so we would see some incremental fleet growth but then really the unknown is the opportunities we find in the secondary market to find, to add used equipment to the fleet.
Paul Bodnar – Longbow Research: Okay. And another follow-up here just I think you mentioned 2012, the average expiry lease rates come down, what about the number of cars up for renewal compared to this year, I mean, it goes up, but I am just wondering what kind of magnitude?
Brian Kenney: It will be similar up slightly from this year would be the expectation.
Paul Bodnar – Longbow Research: Okay, thanks a lot. Thank you.
Brian Kenney: Sure, thank you.
Operator: And we’ll take our next question from John Hecht with JMP Securities.
John Hecht – JMP Securities: Good morning guys. Thanks for taking my questions. Bob, you talked about some additional or incremental expenses from the strike in Q4 and then you also mentioned there is a revenue impact. I mean, are you able to quantify that revenue impact, it sounds like you’re going to try to make up for if weather permitting in Q4?
Bob Lyons: That’s correct. It’s a little difficult to quantify right now, because we are working as hard as we can to recapture that. We’ve got 14 vessels that are out in service. Working with our customers is the best we can to meet all of their volume expectations and needs through the balance of the year. It won’t be a question of drilling the vessels and demand, because that will definitely be there. Some of the uncertainty really revolves around, as it always does, with American Steamship, the weather environment we get here during the last couple months of the year.
Brain Kenney: Yeah, in a perfect situation here, you’d be able to make up all your volume and get your revenue, but your expenses would be up, because you’ve made more trips and you had some strike expense right. And we don’t know if that’s going be material or not, until we get to the end of the year as Bob mentioned.
John Hecht – JMP Securities: Okay. And understanding the remarketing (indiscernible) specialty and you are suggesting that we wouldn’t expect to repeat in Q4 of the gains this quarter, but can you tell us what was the equipment that you sold and is there activity in that type of equipment and do you have equipment that will be similar to that just to think about the potential for opportunities in the near-term?
Bob Lyons: Sure. And I’d say on the rail side, it’s generally reflective of the fleet. We sold a diversified pool of cars during the course of the quarter. Demand is definitely there. There was a pretty active bidding process for what we had out in the marketplace. So, we see buyers of those car types in good numbers, and we think that will continue – that interest level would continue to the extent we had equipment that we wanted to pear from the fleet. On the specialty side, probably the biggest driver really with some activity on the barge side of the business. We own a number of inland barges. Demand there has been pretty strong. We realized some nice upside on some of that equipment and that we think that demand also appears that it will continue or hold in there. Fourth quarter not a lot happened. And you have John followed us for years a lot of the transactions that get done during the course of the year they get done in the first three quarters.
John Hecht – JMP Securities: Okay. So, there is some seasonal implications there, understood.
Bob Lyons: Yeah.
John Hecht – JMP Securities: You took on about little over 1000 cars, you sold about end of the life about 740. And I know you got the trend I wonder and I know you don’t give guidance on this, but just on the cars added side, is that a consistent rate given the intake on Trinity and what you are doing above you required purchasing to the near-term is that would be – is that a reasonable goal with respect to modeling?
Bob Lyons: Probably go up a little bit, John. We actually haven’t taken delivery of that many cars under the Trinity order yet. We are really getting into the flow of that order right now. So, that number will probably move up a bit.
John Hecht – JMP Securities: Okay. And final question I guess is for you Brian, we’ve got a lot of mix if not negative trends we’re getting out of macro basis, but it seems like you are somewhat confident in the industry, I think that’s in a kind of supply demand basis with respect to capacity in the market. If you are just going to remind us or get commentary what segments are most sensitive to economic trends and where do you think from a (indiscernible) position, how is the industry position related to that potential sensitivity?
Brian Kenney: Are you talking in our business or industry wide?
John Hecht – JMP Securities: Just industry wide, the transportation somewhat is obviously a sensitive sector. And it feels like due to year-to-year a little bit more optimistic this time around, because of supply demand relative to the last downturn?
Brian Kenney: I think you really answered your own question there. When people ask me would it be better with more economic growth, it seems like the obvious answer is yes, but I actually like the way it is right now with carloads creeping up slowly in a relatively tight supply situation with backlogs the way they are. If economic growth would really take off here, I am almost more concerned, because what happens then is that when there is more car demand and there is more economic growth. You might see manufactures opened up the line. You might see some newer entrance, you might see current competitors get more aggressive and you could see lease pricing actually deteriorate. I kind of like the way it is right now with solid demand growing slowly in a very tight supply situation, because we can really drive price and with the railcar order that we placed at the beginning of this year we’ve locked in that supply with the fleets that we have acquired at a relatively low cost and we can put those to work on more attractive leases. I think we are very well-positioned to take advantage of the current situation. I really don’t know what happens if growth starts to take off. It could actually be negative for pricing. I like the way it is right now. As far as slowdown across our businesses, I’d say the most acceptable one continues to be our freight car joint venture in Europe, that’s very tied to the European economy, very tied to container movements, it went down in a hurry in 2009 as container traffic dropped. It came back a little in 2010 and it’s just bumping along in 2011 and with all the macroeconomic news you see out there I would say the way we look at that is that recovery is probably delayed indefinitely there. That seems to be the most sensitive to the economy. On the (indiscernible) and what approved is that it was our most or least volatile business during the downturn. They never really experienced what we did in North America. And although there is some noise over there on the chemical side about reduced transportation, we see no cars returned. We placed 1,000 new cars this year pricing strong and they are doing a great job. So, once again, I’d say if you look at the really the macroeconomic indicators continue to be at odds with the strong railcar market and that’s true for most of our business.
John Hecht – JMP Securities: Great. I really appreciate the color. Thanks.
Operator: And we’ll take our next question from Steve O’Hara with Sidoti & Company
Steve O’Hara – Sidoti & Company: Hi, good morning.
Brian Kenney: Good morning.
Steve O’Hara – Sidoti & Company: Can you just talk about the renewal success rate that you’ve had in the last, let’s say, three quarters?
Jennifer Van Aken: Yes, Steve its Jennifer. This quarter we were at about 75% on the renewal success rate. The quarter just prior to that was actually a little bit higher, we were up closer to 80%. Looking back towards the end of 2010 and the early part of 2011, we are right around 70%. So, we have seen a lot of improvement prior this year compared to prior year when we are running in the mid 50% to 60% range.
Steve O’Hara – Sidoti & Company: Okay. And just taking new cars affect that renewal rate?
Jennifer Van Aken: No.
Steve O’Hara – Sidoti & Company: As you might be scrapping more now.
Jennifer Van Aken: No, no, that renewal success rate is for existing cars staying on lease with the current customers.
Steve O’Hara – Sidoti & Company: Okay. And is there, I mean, you maybe you touched on this Brian and I missed it. But I mean is there are you sensing any hesitation or it seems like you still see positive demand outlook for your cars. Is that correct?
Brian Kenney: Yes. And that’s best reflected in our supply agreement being sold out full year in advance.
Steve O’Hara – Sidoti & Company: Okay, great. Thank you very much.
Operator: And we will take our next question from Zahid Siddique with Gabelli & Company.
Zahid Siddique – Gabelli & Company: Hi good morning. I have a few questions. The first one is on the Rolls-Royce JV, could you elaborate a little bit more on what it is and what are the economics of it?
Brian Kenney: Sure. Rolls-Royce & Partners Finance is a 50%-50% owned spare aircraft engine leasing joint venture with ourselves and Rolls-Royce. It’s a diversified portfolio of engines. It’s a sizable business. It’s one of the largest spare aircraft engine (Luxors) in the world. It’s a fairly concentrated market. There is only a handful of Luxors that have any scale to speak of in that business and Rolls-Royce is definitely one of them. We have been in that joint venture since 1998. It’s been one of the strongest performers within the entire GATX portfolio. And we are optimistic that we will see continued growth opportunities there as that portfolio continues to expand.
Zahid Siddique – Gabelli & Company: And how does the economics work, you leased the engines and split the profitability and revenues?
Brian Kenney: Yeah, you see – our share of the income from the Rolls-Royce and Partners joint venture flows through specialties share of affiliate line. We don’t see any impact on our revenue above that or lease income. We take our share of the income through the share of affiliate line as does Rolls. It’s a business that at its core is very similar to what we do in the rail universe. We put assets out on long-term leases provide 85% of the engines in the portfolio. Rolls-Royce provides a total care package or service package that underpins the equipment itself. So, the assets are very consistent with what we like at GATX, long-life, widely-used, very intense asset knowledge, and a big service component.
Zahid Siddique – Gabelli & Company : Okay, great. Moving on to share buybacks, did you have any share buybacks in the quarter?
Brian Kenney: No, we were not active on the share buyback in the third quarter.
Zahid Siddique – Gabelli & Company: What’s the current authorization?
Brian Kenney: We had a $200 million program in place. We have about $70 million roughly left under that authorization.
Zahid Siddique – Gabelli & Company: Okay. And I think I heard you say that you marched roughly $200 million worth of assets, is that correct? If so what did you buy?
Jennifer Van Aken: That’s right. And it was mostly rail assets in North America. We had some in Europe as well.
Zahid Siddique – Gabelli & Company: Okay. The next question is on the portfolio, is there anything out there that’s available and I heard in the past that GE was looking to sell I think maybe AIG was doing something. Is there anything going on out there and would you be interested in increasing your portfolio that way?
Brian Kenney: Yeah, we are always interested. We have taken advantage of last three years and the downturn of taking out this advanced fleet. As far as what’s available right now, I still think there are some fleets both large and small that will move eventually. I don’t see anything happening in 2011, but we are interested in constant contact with every party that might be interested in sales and selling.
Bob Lyons:
Zahid Siddique – Gabelli & Company: Okay, great. And then just a last question what’s the ideal cars in the industry I think it used to be in recent quarters like 300,000 if I remember?
Jennifer Van Aken: Yeah, the last data point we have as of October 1 and that come down to 260,000.
Zahid Siddique – Gabelli & Company: Thank you so much.
Operator: We will take our next question from Kristine Kubacki with Avondale Partners.
Kristine Kubacki – Avondale Partners: Good morning. Most of my questions have been answered, but I just want to circle back to the LPI in the fourth quarter. Is there any chance it could be negative?
Bob Lyons: We anticipate the number will be positive in the fourth quarter, but less than what we just experienced in the third quarter.
Kristine Kubacki – Avondale Partners: Okay. That’s helpful. And then I guess, just if you were looking to your place orders or up and you said you have been taking beyond your commitments what the OEMs. But if you were looking to place another sizeable order, what you think, when would you expect delivery could be with the OEMs potentially open up some build offs for you.
Bob Lyons: Well, the backlog currently for tank is out 15 months depending on the freight car type of the manufacture its 9 to 15 months. So, there is a long backlog.
Kristine Kubacki – Avondale Partners: Okay. All right that’s all I had. Thank you very much.
Brian Kenney: Thank you.
Operator: We will take our next question from Gregory Macosko with Lord Abbett.
Gregory Macosko – Lord Abbett: Yes. Thank you. Nice quarter. Could you talk about the renewals, what on average what was the expiring rate in the say second quarter, third quarter and kind of what you are expecting in the fourth quarter?
Bob Lyons: Greg, it’s Bob. That’s not a number that we disclose publicly.
Gregory Macosko – Lord Abbett: Okay.
Bob Lyons: We try to give you the color and direction there of the LPI, but that number is a little bit to commercially sensitive.
Gregory Macosko – Lord Abbett: All right fine and then what I heard though is that the expiration rate is kind of -- even though there is relatively smaller number of expirations in 4Q that rate is going to pick up and hit it that rate will be at a higher will be above what it is in the third quarter and then it tails off and goes back down in 2012?
Bob Lyons: That’s correct. We have a limited number of cars unusual situation in the fourth quarter, whether coming off of existing high rate leases.
Gregory Macosko – Lord Abbett: Okay.
Bob Lyons: That will push that LPI down in the fourth quarter, but it’s not reflective of the nominal lease rate environment we are in right now, which remains very positive.
Gregory Macosko – Lord Abbett: Okay. And you basically are saying that for at least a number of quarters going forward you expect that rate to continue as you said kind of creep up going forward maybe through the end of next year?
Bob Lyons: Well, we haven’t given specific guidance on that yet. We will on January when we wrap up the year, but as Brian mentioned the lease rate stay where they are at today given a fact that the average expiring rate in 2012 comes down a bit. We expect LPI definitely being positive territory and we will give you more color on that at year end.
Gregory Macosko – Lord Abbett: Okay. And the increase in the renewal terms, its 49 versus 41 and that’s obviously creeping up as well. What is that peak the last time around?
Jennifer Van Aken: We got to low over 67 months almost 70.
Gregory Macosko – Lord Abbett: Almost 70 at one point and okay and I assume just in general terms you see a same kind of overall cycle this time around as well.
Brian Kenney: Hopefully, yes. We tried to push it, as certain car types get up well above their long-term average and actually approach the last peak, you are going to try to push lease term out aggressively. You are seeing some cars gets to that area and that’s why you saw our renewal term increase in the quarter.
Gregory Macosko – Lord Abbett: And then finally in the asset remarketing area, you said it was stronger that mean you sold a lot more or you got good prices.
Brian Kenney: It was a good market we anticipated if you recall back in the second quarter we did say, we thought remarketing would be start up pretty strong. In the third quarter we had some transactions in the pipeline that we felt good about demand was solid. We realized some nice gains on that equipment.
Gregory Macosko – Lord Abbett: And so basically what you sold is kind of what you took on because the number was a 109,000 sequentially, right?
Brian Kenney: It’s in the same ballpark right. The cars sold during the quarter.
Gregory Macosko – Lord Abbett: Right, all right good. Thanks very much.
Operator: (Operator Instructions) We’ll take our next question from Kent Mortensen with Thrivent Asset Management.
Kent Mortensen: Good morning.
– Thrivent Asset Management: Good morning.
Jennifer Van Aken: Good morning.
Kent Mortensen: You gave the impact for Americans or you gave the impact of two discrete items in the quarter that one positive, one negative. But you’re also called up for the year that your guidance didn’t include American Steamship impact the strike impact for the year. But it obviously had to have some sort of negative impact in the quarter that you overcame. Can you quantify that specifically what that wasn’t turned the earnings per share just in this specific quarter?
– Thrivent Asset Management: You gave the impact for Americans or you gave the impact of two discrete items in the quarter that one positive, one negative. But you’re also called up for the year that your guidance didn’t include American Steamship impact the strike impact for the year. But it obviously had to have some sort of negative impact in the quarter that you overcame. Can you quantify that specifically what that wasn’t turned the earnings per share just in this specific quarter?
Brian Kenney: Well, I wouldn’t say American Steamship overcame it. If you look at their segment –
Kent Mortensen: I meant GATX overall overcame in.
– Thrivent Asset Management: I meant GATX overall overcame in.
Brian Kenney: I think, yeah rail had obviously very strong quarter. We had solid remarketing during the course of the quarter. We haven’t broken out yet of the final impact from the strike because we really want to know as we tried up continue to push this volume through the fourth quarter. The extend we get to the end of the year will be in a position to better assess that and we can talk about it in a little bit more detail.
Kent Mortensen: No, I understand that you might be able to offset the negative impact at least partially that in Q3. But can you just quantify what the negative impact was in Q3?
– Thrivent Asset Management: No, I understand that you might be able to offset the negative impact at least partially that in Q3. But can you just quantify what the negative impact was in Q3?
Brian Kenney: Well, if you look at last year we had $12.5 million of segment profit and very similar tonnage to what we had this year and we generated $8.5 million in the segment profit.
Bob Lyons: And most of that would be due to the cost of stoppage.
Kent Mortensen: Okay. So, in terms of where I’m getting a little confuse that is -- is that roughly $4 million was in effect at lease from the outsiders perspective looking a consensus that was more than overcome by strong operations in rail. But yeah, you didn’t increase guidance for the year, you maintained that and you gave some reasons behind that with of your remarketings and not as many sales. But was this quarter then basically inline with internal expectations that you’re not increasing guidance for the year that’s where I’m just getting little confuse it just it seems very natural to me that you would be able to increase the upper in the guidance nickel or so.
– Thrivent Asset Management: Okay. So, in terms of where I’m getting a little confuse that is -- is that roughly $4 million was in effect at lease from the outsiders perspective looking a consensus that was more than overcome by strong operations in rail. But yeah, you didn’t increase guidance for the year, you maintained that and you gave some reasons behind that with of your remarketings and not as many sales. But was this quarter then basically inline with internal expectations that you’re not increasing guidance for the year that’s where I’m just getting little confuse it just it seems very natural to me that you would be able to increase the upper in the guidance nickel or so.
Brian Kenney: Well I had point out Kent is whether or not ASP recovers a $1 million or $2 million of that segment profit is dwarfed by what happens on the remarketing line.
Kent Mortensen: Okay.
– Thrivent Asset Management: Okay.
Brian Kenney: We had $60 million of remarketing this quarter. Last year in the fourth quarter we had three. So, that number moves around substantially. And as we already indicated we don’t expect a lot of remarketing in the fourth quarter. So, that’s really the big driver. I think I answered your question.
Kent Mortensen: That’s excellent. It helps. And you’d mention that the cost of buying rail cars, the average cost of cars are roughly back to peak levels. But that the lease renewal, if I may call the spot renewal lease price isn’t back to this peak levels. How long is it typically take for those lease renewals to catch up with the pricing the rail cars?
– Thrivent Asset Management: That’s excellent. It helps. And you’d mention that the cost of buying rail cars, the average cost of cars are roughly back to peak levels. But that the lease renewal, if I may call the spot renewal lease price isn’t back to this peak levels. How long is it typically take for those lease renewals to catch up with the pricing the rail cars?
Bob Lyons: I don’t think there is a typical pattern for that. I mean so car types specific.
Kent Mortensen: Okay.
– Thrivent Asset Management: Okay.
Bob Lyons: This last recession was deeper than the prior one. I really can’t generalize like that. I would just say certain car types ever covered faster than others. So, I mentioned pressure cars earlier, green cars 30,000 gallon, tank cars all have recovered very quickly in our approaching the prior peaks, while coal is a good example of one that hasn’t probably on a two-thirds of the way back. So, it’s really car types specific.
Kent Mortensen: Okay, okay great. Thank you.
– Thrivent Asset Management: Okay, okay great. Thank you.
Brian Kenney: Thank you.
Operator: And at this time, there are no other questions in queue. I will turn it back to our speakers for any closing remarks.
Jennifer Van Aken – Director, Investor Relations: Okay, thank you, Tim and thanks everyone for your participation. I will available all afternoon to answer any additional questions. Thanks.
Operator: That concludes today’s conference call. We appreciate your participation.